Operator: Good day, everyone, and welcome to the Northern Trust Corporation Third Quarter 2011 Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the conference over to the Director of Investor Relations, Bev Fleming, for opening remarks and introductions. Please go ahead.
Beverly J. Fleming: Thank you, Cindy. Welcome to Northern Trust Corporation's third quarter 2011 earnings conference call. Joining me on our call this morning are Bill Morrison, Northern Trust President and Chief Operating Officer; Mike O'grady, Chief Financial Officer; Aileen Blake, Controller; and Allison Quaintance from our Investor Relations team. For those of you who did not receive our third quarter earnings press release or financial trends report via e-mail this morning, they are both available on our website at northerntrust.com. In addition, this October 19 call is being webcast live on northerntrust.com. The only authorized rebroadcast of this call is the replay that will be available through November 16. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Now for our Safe Harbor statement. What we say during today's conference call may include forward-looking statements, which are Northern Trust's current estimates and expectations of future events or future results. Actual results, of course, could differ materially from those indicated by these statements, because the realization of those results is subject to many risks and uncertainties. I urge you to read our 2010 annual report and our periodic reports to the Securities and Exchange Commission for detailed information about factors that could affect actual results. Thank you again for joining us today. Let me turn the call over to Bill Morrison.
William Lind Morrison: Thank you, Bev, and good morning, everyone. It's my pleasure this morning to introduce Northern Trust's new Chief Financial Officer, Mike O'grady. As we mentioned last quarter's conference call, Mike joined Northern Trust in mid August and assumed the CFO role on October 1, at which time I became President and Chief Operating Officer. Mike and I have worked together closely over the last 2 months, and his familiarity with Northern Trust is well in evidence. He's been a terrific addition to our leadership team, and I know you'll enjoy working with him in the years to come. Before Mike reviews our third quarter performance, let me set the stage with a few themes that continue to be quite relevant to our performance this year. First, the challenging global economic environment continues to impact our results. Very low interest rates, difficult equity markets and a weak global economy have dampened our results and seem likely to persist. Second, though our profitability has been adversely impacted by these conditions, we continue to invest in our businesses for the future and in support of new and existing clients. Against this backdrop of macroeconomic headwinds, we continue to focus even more aggressively on driving improved financial performance, returns and efficiencies. As Rick Waddell and I have previously mentioned, we'll discuss actions to position the company for better near-term performance and continued long-term success in our January earnings conference call. The third theme is a positive one. Despite the environment, Northern Trust continues to win in the marketplace at a healthy and in some instances, a record pace. I'll provide some specifics on our new business success in my closing comments, but I'd ask you to please keep these 3 themes in mind as Mike discusses our third quarter results. Mike?
Michael G. O'grady: Thank you, Bill, and good morning, everyone. Let me join Bill in welcoming you to Northern Trust's third quarter 2011 earnings conference call. It's been a very busy and rewarding 2 months, and I'm delighted to be a member of the Northern Trust team. I look forward to meeting many of you in the coming months. Earlier this morning, Northern Trust announced third quarter net income of $170 million, an increase of 10% over last year and 12% over last quarter. Earnings per share were $0.70, which was 9% better than the $0.64 last year and 13% better than the $0.62 last quarter. Before getting into the details, let me make some summary comments regarding the third quarter. Despite the environment, we continue to grow revenues. There are several factors behind this. New business was strong as we continued to add both personal and institutional clients and assets. The acquisitions of Bank of Ireland Securities Services, which closed last quarter, and the Omnium hedge fund administration business, which closed this quarter, also contributed to our revenue growth, adding $33 million in revenue in the quarter. Given that these acquisitions had an equal level of expense, there is no impact on the bottom line. Both acquisitions provide us with attractive clients as well as new capabilities that will drive future new business. The equity markets were weak in the third quarter, generally dampening our market-based fees: the S&P 500 down 14% sequentially and the EAFE down 16%. As you recall, some of our custody and wealth management fees are calculated based on a one-quarter lag methodology. Given that markets were essentially flat in the second quarter, these fees were less impacted. Our PFS regions use a one-month lag methodology, and on that basis, equity markets were down 5% on a sequential quarter basis in the third quarter. Low short-term interest rates coupled with persistent narrow spreads at the short end of the yield curve continue to negatively impact net interest income and money market mutual fund fees. For example, overnight interest rates in the U.S. averaged only 8 basis points in the third quarter, down from an already low 9 basis points in the second quarter. And 3-month LIBOR averaged 30 basis points, still very low by historical standards. Short-term interest rates for the sterling and the euro also remained low. As a result, net interest margin was stable but remains under pressure, and money market fee waivers were $29 million in the third quarter compared to $23 million in the second quarter and $13 million one year ago. Foreign exchange benefited from the recent volatility, although it was still low -- still below last year's levels. And security blending fees were down in the quarter, reflecting seasonality in the second quarter due to the international dividend season. Expenses in the third quarter were up over last year but relatively flat compared to last quarter. We continue to add people and build out the platform to support the new business and wins. And while expenses were relatively flat for the quarter, we are increasing our focus on business process optimization and expense management, as Bill mentioned. Finally, our balance sheet remains very strong. Loan quality was slightly better in the quarter, although we expect this to continue to be bumpy given the uncertain economic outlook. We continue to take a conservative approach to our securities portfolio and deposits with banks and work to mitigate our exposure to areas of high risk, and we maintain a very healthy capital base. Our clients recognize this and placed more demand deposits with us during the quarter, which lowers our cost of funds. With that background and summary, let me get into the details behind our third quarter results. Revenues on a fully taxable equivalent basis were $981 million, up 9% year-over-year and 3% sequentially. Non-interest income was $715 million, representing 73% of our total revenues, and was up 9% year-over-year and 2% sequentially. The largest component of non-interest income is trust, investment and other servicing fees, which were $555 million for the quarter, up 7% year-over-year and essentially flat sequentially. Trust, investment and other servicing fees in C&IS, our institutional business, totaled $311 million in the third quarter, up 6% year-over-year and 1% on a sequential quarter basis. As you know, C&IS fees include 3 primary categories: custody and fund administration, institutional asset management and securities lending. Let me discuss each of those. C&IS custody and fund administration fees were $206 million in the third quarter, up 29% year-over-year and 8% sequentially. The increase primarily reflects the recent acquisitions, which together added $29 million in custody and fund administration fees this quarter. Recall that our second quarter fees included only one month of one acquisition for about $5 million. Institutional assets under custody were $3.8 trillion at quarter end, representing an increase of 7% or $256 billion year-over-year and a decrease of 5% or $215 billion sequentially. The sequential decline in assets under custody primarily reflects lower equity market values and foreign currency translation, offset by the impact of acquisitions and new business. For similar reasons, global custody assets, a subcomponent of assets under custody, were $2.4 trillion, up 9% or $203 billion year-over-year and down 6% or $155 billion on a sequential quarter basis. C&IS investment management fees were $65 million in the third quarter, up 6% year-over-year but down 8% sequentially. Year-over-year growth reflects new business in our index management, manager of manager and short duration businesses as well as higher year-over-year market fees, offset by higher money market fee waivers. Sequentially, new business was more than offset by lower market values and higher fee waivers. Waived fees associated with institutional money market mutual funds were $10 million in the third quarter, up from $7.5 million in the second quarter and $2.5 million in last year's third quarter. Managed assets for institutional clients were $481 billion at quarter end, down 5% or $28 billion compared with one year ago and down 6% or $31 billion sequentially. The sequential decline is due primarily to lower equity market values as well as a 6% decline in securities lending collateral. Securities lending fees equal $20 million in the third quarter, down from $56 million in last year's third quarter and $31 million last quarter. As you recall, our securities lending fees in last year's third quarter included $39 million in positive marks associated with the one mark-to-market investment fund used by certain securities lending clients. The fund was liquidated in the third quarter of 2010 and therefore, did not impact the sequential comparison. Excluding these marks, securities lending fees were up 19% year-over-year, reflecting wider spreads. On a sequential basis, securities lending fees decreased $10 million, primarily reflecting the traditional second quarter international dividend season. Let's move on to Personal Financial Services. Trust, investment and other servicing fees in PFS were $244 million in the third quarter, up 8% year-over-year but down 2% on a sequential quarter basis. Year-over-year growth was driven by strong new business, offset partially by a higher level of money market fee waivers. The sequential quarter decline in PFS fees was also the result of higher money market fee waivers, which reduced PFS fees by $19 million in the third quarter compared with $10 million in the year earlier quarter and $15 million in the second quarter. PFS assets under management were $163 billion at quarter end, up 10% compared with a year ago and down 5% versus last quarter, primarily due to lower equity market values. Foreign exchange trading income was $87 million in the third quarter, down 2% year-over-year and up 8% compared with last quarter, reflecting higher volatility during the latter part of the third quarter. Other operating income of $42.5 million increased 53% year-over-year and 1% sequentially. The year-over-year increase reflects gains in the current quarter from currency translation as compared with losses in last year's third quarter, which also included pretax losses from the discontinuation of certain cash flow hedges. Finally, in the third quarter, we recorded $1.3 million in credit-related, other-than-temporary impairment charges on residential mortgage-backed investment securities held within our balance sheet securities portfolio, primarily reflecting additional deterioration of previously identified impaired securities. This was $13 million lower than the OTTI charge in the third quarter of last year and $16 million lower than the OTTI charge last quarter. Net interest income was $267 million in the third quarter, up 10% year-over-year and 4% sequentially, and the net interest margin was 1.25%. The year-over-year increase in net interest income was a result of 26% growth in average earning assets, offset partially by a 19-basis-point decline in the net interest margin. Our balance sheet has grown significantly over the past year because of strong deposit growth, but soft loan demand has resulted in those deposits being invested in lower yielding assets such as Federal Reserve deposits, interest-bearing deposits with banks and investment securities. In addition, maturing securities have been reinvested at lower rates, leading to the net interest margin decline on a year-over-year basis. The sequential increase in net interest income, on the other hand, was due to a slightly higher net interest margin, which was up 2 basis points compared with the last quarter, and slightly higher average earning assets. The sequential increase in our net interest margin was due primarily to a shift in our funding mix. During the third quarter, average demand and non-interest-bearing deposits increased significantly, up $6 billion or 53%, replacing short-term bonds. Now let's look at third quarter expenses. Total expenses were $701 million in the third quarter, up 13% year-over-year but down 1% sequentially. Third quarter expenses included $4.2 million in charges associated with integration and restructuring activities, compared to $22.6 million in the second quarter. Expenses adjusted for acquisitions and for integration and restructuring charges were up 7% year-over-year and down 2% sequentially. While the rate of growth in expenses has slowed, it is still a key focus of management, as Bill mentioned earlier. More specifically, compensation expense was $311 million, up 14% year-over-year and down 3% sequentially. The year-over-year increase in compensation was driven by higher staff levels, with about half of the increase in staff related to acquisitions. Adjusting for $18.4 million in severance-related charges last quarter and $1.4 million this quarter, compensation expense was up 3% sequentially. The sequential quarter increase was also a result of the acquisitions, offset partially by lower incentive compensation. Employee benefit expense was $67 million in the third quarter, up 11% year-over-year, reflecting higher staff levels and the impact of recent acquisitions. It down 1% sequentially. Outside services expense was $140 million in the third quarter, up 26% year-over-year and 4% sequentially, primarily due to higher technical services, again due to acquisitions and higher investment manager sub-advisory fees. Equipment and software expense was $76 million, up 5% year-over-year and down 8% sequentially. The sequential decline reflects lower depreciation, equipment maintenance and rental expense. Other operating expenses were $62 million in the third quarter, down 1% year-over-year and up 9% sequentially. This sequential increase primarily reflects higher charges associated with account servicing activities, FDIC premiums and intangible amortization, offset by lower business promotion expense. Our effective tax rate in the third quarter was 32.6% and was lower both year-over-year and sequentially, because a higher portion of income is being generated in lower tax jurisdictions. Switching to credit quality. Credit quality was better in the third quarter, with slight improvement in commercial and industrial loans but continued deterioration in real estate lending. Non-performing loans decreased $20 million sequentially to $308 million at quarter end. Other Real Estate Owned decreased $1 million on a net basis sequentially and was carried at $30 million at quarter end. The net result was non-performing assets were 1.18% of total loans and Other Real Estate Owned, down from 1.26% in the second quarter. Net charge-offs were $29 million, which compares with $30 million last year and $15 million last quarter. Our loan loss provision was $17.5 million in the third quarter, down from $30 million recorded in the third quarter of 2010 and up from $10 million recorded last quarter. As a result, the allowance for credit losses assigned to loans and leases was $298 million at quarter end, representing 1.04% of total loans and leases and 1x our non-performing loans. Let me wrap up by covering 2 current topics of interest relative to our balance sheet: first, Eurozone exposures; and second, capital. With respect to the Eurozone, let me walk through our balance sheet exposures. We have a total of $51 billion in securities, deposits at other banks and due from balances on our balance sheet. Our bank and sovereign exposures within those balance sheet assets are as follows. We have no bank or sovereign exposure to Portugal, Ireland, Italy, Greece or Spain, other than a de minimis amount on deposit with the Irish subsidiary of a U.K. bank for regulatory purposes. We have approximately $1.1 billion in exposures to France and $900 million to Germany and approximately $2.7 billion exposures to other Eurozone countries, primarily the Netherlands and Finland. Our Eurozone exposures are approximately 92% deposits at banks and 8% sovereign. We have an additional $8.8 billion in European exposures outside the Eurozone, primarily in the United Kingdom, Sweden, Switzerland, Norway and Denmark. We have approximately $9.3 billion in exposures in Asian countries, primarily Australia, Singapore and Japan. These exposures are about 89% deposits at banks and 11% sovereign. The remaining $29 billion in exposures across the securities portfolio, deposits with banks and due from balances are in North America to the United States and Canada. During the third quarter, we continued to shift our exposures to stronger banks and to shorten tenders. On capital, our capital levels remain very strong, with Tier 1 capital and Tier 1 common ratios of 12.2% and 11.8%, respectively. And we estimate that our Tier 1 common ratio under the Basel III framework, at least as we currently understand the regulations, would equal 11.8%, exceeding all regulatory requirements. We continue to invest in our business, deploying capital to support our clients' needs and through strategic acquisitions, including the 2 completed earlier this year. We maintained our dividend throughout the financial crisis and have paid $205 million in dividends so far this year for a dividend payout ratio of 43%. We also reinstituted our share repurchase program in the first quarter and have bought back approximately 1.6 million shares year-to-date at a cost of $78 million, virtually all in the first half of the year. As we said last quarter, we have returned to our historical practice of repurchasing shares issued under equity compensation programs, including a catch-up in the first half of this year for shares issued under equity compensation plans dating back to May of 2009. Dividend and share repurchases combined, our total payout ratio was 60% for the first 3 quarters of 2011. Capital strength is and will continue to be a hallmark of Northern Trust and a key point of differentiation. Before we open up the line for questions, let me hand the call back to Bill for some closing comments. Bill?
William Lind Morrison: Thank you, Mike. Let me close by reiterating 2 of the themes that I mentioned at the outset of today's remarks. Our new business continues to be very strong, from clients new to Northern Trust and from existing clients. In PFS, net new business year-to-date in 2011 was a record and in C&IS, the best across the last decade. The solutions we offer our clients, the expertise of our people, the resiliency of our global brand and our integrated global operating platform have all contributed to the excellent new business results we have achieved this year. Publicized new business wins in recent weeks have included the Commonwealth Superannuation Corporation, a fund with AUD 24 billion for which we will be providing a range of master custody and related services. Also, RCM, a company of Allianz Global Advisors (sic) [Allianz Global Investors], selected Northern Trust for investment operations outsourcing for investment teams in Asia, Europe and North America. And Lancashire County Council, one of the U.K.'s largest local government pension schemes, selected us for global custody and related services for their GBP 4.6 billion in sterling assets. Our success in the marketplace is extremely gratifying and reflects our consistent strategic focus, client centricity and attractive competitive positioning. While our client-focused business is in excellent shape and our financial condition is very sound, the macroeconomic environment, as we've said, continues to restrain revenues and returns. We expect the environment to be challenging for the foreseeable future, and as a result, we have begun to take more significant actions to improve our efficiency and productivity. Some of these initiatives already underway include office consolidations in our personal business and an international optimization of our institutional fund administration operations in EMEA. We've also recently engaged consultants to assist our internal team in identifying additional opportunities to improve our near-term financial performance and to position us for continued long-term success. We're continuing with these and other efforts and will provide more details during our January earnings conference call. Thank you again for your time today. Mike, Bev and I would be happy to answer your questions. Cindy, would you open the line for questions, please?
Operator: [Operator Instructions] Our first question today comes from Howard Chen with Crédit Suisse.
Howard Chen - Crédit Suisse AG, Research Division: We've seen a pretty outsized balance sheet growth and frictional deposit inflows in tiers. I know you have a meaningful PFS business. But just on the asset servicing side, can you just refresh us if there's anything specific to your management philosophy or business mix that would suggest why you don't see as much in the way of kind of temporal inflows?
William Lind Morrison: On the balance sheet?
Howard Chen - Crédit Suisse AG, Research Division: Right. Just frictional deposits from clients, Bill.
William Lind Morrison: Well, I think we've seen pretty strong growth over the last 12 months. In fact, I think our institutional business, specifically non-U.S., has really been the largest driver of -- on approximately 26% growth in earning assets year-over-year. There's also been some, I think, respectable growth domestically in the PFS business in terms of deposits and in resulting asset growth as well. But I would say that the large majority of the balance sheet growth, that 26% in earning asset growth that I just spoke about, has come from our institutional business, principally non-U.S. So it's there.
Howard Chen - Crédit Suisse AG, Research Division: Okay. I understand you on the new business installation. It was more just -- I got the sense that some of your peers may have seen just more temporal things, just given all that was going on in the macro environment. I guess the second question, Bill, just -- and Mike, given all the disruptions this quarter, maybe I was hoping you could speak to some of the unique factors that may have kind of temporarily impacted NIM, either positive or negative, just so we can kind of get a feel for how we should think about this going forward.
Michael G. O'grady: Sure. This is Mike. On the NIM, as you saw, that our NIM sequentially went up by 2 basis points. Clearly, it's a challenge to maintain the NIM and keep it stable there. And what you saw in the quarter, Howard, is that while yields came down, and that's as a result of our need to continue to reinvest what rolls off the investment portfolio, we've been able to offset that by reducing our funding cost. And so if you really -- you look deeper into that, you could see that not only do we have our deposit rates come down on money market and savings accounts, but also, with the influx we saw in demand deposits and non-interest-bearing accounts, where that was up $6 billion on average during the quarter, obviously at no cost there, we were able to replace funding that had some cost and reduce the funding side. So I think that what you saw there, as you say, is kind of a volatile market with low rates. Our expectation is that we'll have to just continue to do that going forward.
Howard Chen - Crédit Suisse AG, Research Division: Great. That's helpful. And then final one for me. I know everyone's business mix is different and pipeline is unique, but your FX revenues just haven't been as robust as some of the peers in recent quarters. Just curious, is that something that you all look at? And how much do you care about that? And what would you attribute that to?
William Lind Morrison: Well, it's Bill, Howard. First, I would just respond by saying that our third quarter results were a bit of an anomaly in that they were up vis-à-vis our second quarter results, speaking in terms of FX revenues. So normally, the third quarter is a down quarter, relatively speaking. So we were pleased with our own results, really can't speak to why some of the other comps were up a little stronger than we were in the third quarter.
Operator: We'll take our next question from Ken Usdin with Jefferies.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Can I ask you a question just about the acquisitions that happened? I know you gave it to us in the percent changes. But within the custody line, can you help us understand how much within custody came from the Omnium and Bank of Ireland acquisitions?
Beverly J. Fleming: Ken, it's Bev. I don't have the custody breakdown between the 2, but I do have the total fee breakdown between the 2. And for the Bank of Ireland, it was $18.6 million, and of course, that's the full quarter. And for Omnium, it was $14.0 million. Of course, that would just be the 2 months.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Right. So we should see the carryover of that into the next quarter. And it's -- is it mostly custody and then spread out through the other stuff as far as it's -- where it's located?
Beverly J. Fleming: It is, Ken. I think 29 of the 33 was related to custody and fund administration, so there'd be a little bits of it in other income statement. But 29 of the 33 was in custody.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Okay. Perfect. And a bigger picture question for either Bill or Mike. Just when we think about the expense planning that you guys are going through, I know we're going to get the explicit details in January. But can you just walk us through how you start to think about magnitude versus the environment? Are you going to think about it in absolute dollar amounts or relative to profitability? And just how deep are you going across the company to really reassess the cost base versus your comments earlier about the challenging revenue environment?
William Lind Morrison: Yes, it's Bill. I would tell you that the way we think about this is a combination of approaches, really. Number one, we have our own views as to general parameters around the level that we need, all other things being equal, to get our financial performance back to where we think it should be. And by that, I mean in the short to immediate term. So that's one lens. Also, we're taking a look at, but not really guided by, what other companies have done. We understand the ranges that large bank peers have set in their announcements, and we're informed by those. So at this point, I would tell you that we've got a fairly broad range, which as we've said before, we're not willing to describe specifically. But we've got a fairly broad range of dollar impact in mind. And the process that we have described before, and which perhaps we can talk a little bit more about today, is ongoing. And as we've said before, we'll be much more specific about that at the end of the fourth quarter.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: So Bill, just one follow-up off -- on that. When you talk about getting back to historical levels of performance, part of that is always going to be driven by the market environment. So part of it you can engineer through the cost side. Should we be -- should we think about them in terms of driving to an efficiency ratio or a pretax margin kind of in an all-things-equal manner?
William Lind Morrison: Yes, if I said back to historical levels of performance, I misspoke. I meant -- I think I may have said that we want these initiatives to drive us closer to a level of performance that we expect in this environment, because to get back to historical levels of performance, we're going to need some improvement in the macroeconomic environment, no question about that.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Sure. And I guess I'm just trying to get at as -- because the environment has stayed harder for longer, have you changed at all the metrics that you think are most important to kind of track back toward, if not too directly? Like do you focus more on just profitability or generating an ROE? Or is there any mind change with regards to that?
William Lind Morrison: All of the above. I mean, I would just add to what I've said, that one of the complications in this initiative -- and obviously, all the companies that are going through this have it, but we have it, in particular, focus is -- we need to preserve the qualities that are in place at Northern Trust today that drive the new business successes that we have been talking about quarter after quarter here. These record levels of new business in both sides of the business, and frankly, we have been talking about now for 4 consecutive quarters, results from an environment that we think we need to retain. So it's a complicated balance. I hate to not be able to answer your question more specifically, Ken, but I just don't have the answers today. We'll be more specific at the end of the quarter.
Operator: We'll take our next question from Brian Bedell with ISI Group.
Brian Bedell - ISI Group Inc., Research Division: I just have a couple of questions. One on the Omnium business. I think that was $70 billion in assets under administration. Is that correct?
Beverly J. Fleming: Brian, that's not a number that I have in front of me, so I can't confirm that.
William Lind Morrison: Round numbers, that's correct, yes.
Brian Bedell - ISI Group Inc., Research Division: Okay, okay. And that -- so that would not be in your custody number, right, as you disclose it.
Beverly J. Fleming: Yes, that's correct.
Brian Bedell - ISI Group Inc., Research Division: Okay. Great. Okay. So I'm calculating about, say, a $7 million monthly revenue. I'm calculating around a 12-basis-point sort of fee realization rate, so that's obviously helping your overall revenue generation. Can you talk a little bit about the profitability? It sounds like at least at the outset, the expenses are fairly matched to the revenues. Maybe talk about what type of intermediate-term accretion you expect to get from both the Omnium and the Bank of Ireland securities deals.
William Lind Morrison: It's Bill. We really haven't disclosed that, and I don't think we will, other than to say that for the rest of this year, we wouldn't expect any contribution. And as we move into next year and following years, we would expect both of the businesses to be accretive. And I think we'll just leave it at that.
Brian Bedell - ISI Group Inc., Research Division: Right. And I guess the philosophy there is to expand the client base that's using those services, or at least on the Omnium side. Is that correct?
William Lind Morrison: Well, yes. Absolutely. The acquisition really will be driven, in terms of the success, by the new business in terms of third-party clients that we're able to bring on. But also, there's an important cross-sell ingredient to that business on the existing clients that Omnium had, including those that are in the process of transition now. We're finding that interest in our other services from those clients is pretty high, so there's an opportunity there as well.
Brian Bedell - ISI Group Inc., Research Division: Great. Great to know that. That's excellent. Just on the balance sheet, a couple more specific areas to focus on. On the loans and leases, can you explain what drove the decline of 346 bps to 322 bps in the second to third quarter?
Beverly J. Fleming: Yes, Brian, I'll take that one, and you might remember that there was something similar that happened in the opposite direction a few quarters ago. We've got Australian dollar cash collateral posted against FX trades for one of our large clients, and that cash collateral was lower in the third quarter than it was in the second quarter. And basically, since we account for that, we account for the interest income in loans and leases. And then we have a matching currency on the liability side as well, and that interest expense is paid for -- or is paid out of non-U.S.-office time deposits. So what I'd encourage you to do is when you look at that shift in the yield on loan and leases, likewise, look at the shift in the cost of non-U.S.-dollar, non-U.S.-office time deposits, and you see they moved in a similar fashion, both tied to this FX cash collateral issue. And again, the collateral was lower in the third quarter than it was in the second. Very similar to what happened a couple of quarters ago, but a couple of quarters ago, it moved in the other direction.
Brian Bedell - ISI Group Inc., Research Division: Yes, noted. I just wanted to make sure of that. That's helpful. And then on the incremental growth yields that you're investing in, in the U.S. government and the government-sponsored agency lines, roughly, what types of yields are you getting right now on that?
Michael G. O'grady: Sure. It's Mike, Brian. So with the lower rates, obviously, what we're looking to do is to try to maintain that yield on the portfolio as much as possible. And to do that, it's a combination of extending out the maturities a little bit and making sure that we do it within the parameters from a credit standpoint that we've always been comfortable with. So right now, you are seeing the pressure on the yield there, because where we've reinvested in combination is a lower level than what it is before. And so, for the quarter, when we redeployed, we were somewhere in the neighborhood of about 70 basis points that we were redeploying all in.
Brian Bedell - ISI Group Inc., Research Division: Okay. Great, that's helpful. And then just last, on organic growth. You mentioned some of the -- obviously, the big deals. On the RCM deal, it looks like you're doing it throughout -- on a global basis. They manage over $150 billion. I was wondering if you're capturing the bulk of that or just some of that.
Beverly J. Fleming: We have not disclosed the dollar amount of the total relationship, but it does not represent the totality of RCM's AUM.
Operator: We'll take our next question from Alex Blostein with Goldman Sachs.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Just a quick follow-up on expense, I guess. You guys are doing about $700 million of non-interest expense a quarter right now. And then, Bill, you mentioned there's going to be a couple of moving parts, I guess, in the near term with some of the branches consolidating and then you guys hiring consultants. How much of that is, I guess, already in the run rate in that $700 million? And then when you're looking out into next year, once you decide how you're going to go about some savings, is the goal really then to slow down the pace of growth in that $700 million number or to bring down the actual dollar amount?
William Lind Morrison: Well, number one, the majority of the issues that we're contemplating and in the process of implementing, I would say, have not materially reduced the expense level, with the exception of the special charges we took in the second quarter. But that -- we talked about that before. So the reductions in expense and also the increases in revenue, because I would remind you all that our focus on this is focused both on sustainable revenue increases and also on expense-related productivity initiatives, are mostly in the future for us.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Okay. And then on capital management, I guess there was a little surprise in that you guys did not buy back much of the stock this quarter given the -- sort of the stock performance. Can you just give us a sense why aren't you being more aggressive with the stock buyback here, given the fact that you guys still have about 5 million or so left shares for repurchase? And then looking out into next year, what, I guess, would be your preference, dividend versus buyback?
William Lind Morrison: Well, number one, I take you back to Mike's comments, where he said that our payout ratio so far this year has been 60%. That's a combination of our dividend payout and stock buybacks. Recall that we and other banks are operating under capital plans that, for us at least, began in terms of our first filing in the first quarter of this year, and our activities have been within the guidelines that we planned.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: And as far as the preference going forward?
William Lind Morrison: I think we've got to work through that internally, and we've got to involve our board in that. We've got to go, as you know well, through another capital planning process for the benefit of our principal regulator, on the same timeline that we did last year. So -- and I should add that we continue to be differentiated in the process here from the SCAP banks. And the so-called SCAP banks, I believe, were required to file a capital plan on January 5. We anticipate filing our plan sometime late in January, after our regularly scheduled board meeting, and we've got some work to do internally and with our board before we submit that plan. So I really can't answer your question.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Okay. Shifting gears maybe a little bit. Sizable wins this quarter. You mentioned a couple of big Australian wins you guys received. How much of that is already in the run rate this quarter? Or should we really think of that coming in over the next few quarters and maybe helping offset, I guess, some of this market weakness that I guess will hit you guys next quarter because of the lag?
William Lind Morrison: Well, the 2 that I mentioned specifically, RCM and the Commonwealth Superannuation Corporation, are not in the run rate. They are won but not yet transitioned. So neither are they in the new business high levels that I talked about earlier because as you know, it's our practice not to include new business in the new business category until it's actually funded. So neither one of those businesses are in. And I would say that there are a reasonably large number of other situations, not just in Australia and not just IOO-related businesses, that have been won and not transitioned. Unfortunately, we don't have permission to disclose those names, but there's some very attractive names over all of our products and in all of our regions that are in a similar position as these 2, and that is won but not yet transitioned.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Got you. And then maybe just the last one for me. When I'm looking at fee waivers, obviously up because of the different rate environment, but if we're looking out into the fourth quarter, can you just remind us, what do you think is the best proxy to use for the direction of the fee waivers given the duration profile of your money market book? Because LIBOR is up, so should we think that the fee waivers should lighten up a little bit in the fourth quarter? Or LIBOR is not the best proxy for it.
Michael G. O'grady: Yes. As far as proxies, I'm not sure, Alex, but let me make just a couple of comments. I think that the fourth quarter -- excuse me, the third quarter run rate of $29 million represents not only the amount that we're waiving, but also the asset levels that we have in the funds. So what's going to drive that is, as you mentioned, what happens with rates, which we don't know, but then also what happens with the asset levels in those funds. The other comment I would make on that is as you've seen, these waivers have gone up each quarter, going back to last year. There is an ultimate limit in what those can be. So we're well through what the size of the fee waivers will be in a quarter, but that doesn't mean that they can't be larger.
Operator: We'll take our next question from Mike Mayo with CLSA.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: First, you're not expanding your balance sheet as much as some of your peers. Just remind us of your philosophy.
William Lind Morrison: Our philosophy is to accommodate our clients, plain and simple, Mike. Frankly, we anticipated a little bit more significant take-up of our balance sheet through the deposit side in August than we got. We ran down some of our leverage in anticipation of that run-up, but I think the quick answer to your question is that we've seen nice increases. And you heard my earlier comments about the growth in earning assets year-over-year from our clients, but we didn't see the huge inflows during August, particularly around the debt ceiling issue, that some of the other banks did see.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then separately, say your core custody revenues, if we strip out $29 million from acquisitions and assume you had $5 million in last quarter, so we take out $24 million difference, it looks like core custody revenues were down 7% linked quarter. And that seems a little bit worse than some others, and that's before the lagged pricing. So can you make us feel a little bit better about the core trends, or correct my math?
William Lind Morrison: No, we saw it pretty close. I mean, we see the -- we see our custody assets down about 6% sequentially. So I guess we would view that pretty near what we would expect, Mike. Bev may have something to add.
Beverly J. Fleming: Yes. Maybe it would make sense for us to take the math offline, because I've got some statistics in front of me where if we strip out the impact of acquisitions, the fee realization on assets under custody actually went up a little bit on a sequential quarter basis. So let's compare math and decide where that takes us.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: Okay. Yes, I'll need that clarification. And just philosophically, the question is coming up more and more. What's the value of having asset servicing under the same umbrella as asset management? And if you can just remind us, give us any hard numbers that you have on the benefits of having them both together.
William Lind Morrison: Well, we all have seen that recently, haven't we? I can't comment on how the value proposition works for others. For Northern Trust though, with our quite significant personal business, firstly, we think an asset management business is imperative to growing the business -- an internally owned and run asset management business. We do have different market penetrations, institutional and personal, vis-à-vis some of our peers, Mike, as you well know, and I think I'll just leave it at that.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: And then last question. Let me just go back to the asset servicing. So based on your numbers, Bev, it sounds like it might have been a little bit better than what I calculated. So what I'm really getting to, is pricing getting better? We've been talking about this for 3 years now. Or is it still as competitive as it's been?
William Lind Morrison: I think on a case-by-case basis, Mike, as you've heard us say before, we're making good progress in improving our relationship pricing on the C&IS side of the business. I think as you look at the business overall, price competition is still quite strong, and we see that in our new business presentations. Price competition's still tough.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: And what does it take to have you guys stop beating each other up? I mean, it's what we hear too.
William Lind Morrison: Good question. I can't speak for the others. I mean, we're working hard on cross selling our relationships and repricing where we can and where appropriate, and we're looking out for ourselves, taking them one at a time.
Operator: And we'll take our next question from Jeff Hopson with Stifel.
J. Jeffrey Hopson - Stifel, Nicolaus & Co., Inc., Research Division: Okay. My question relates to Europe and obviously, what clients are doing there and what competitors are doing there and if you think that you're going to see or have seen a flight to quality from clients. And any thoughts on how the competitive framework might change there and how you would position yourself to participate or benefit from either M&A or, I guess, organic growth.
Michael G. O'grady: Sure. Jeff, it's Mike. I'll take that. As you mentioned, there's obviously a lot of volatility and dislocation over in Europe, and there could be more. Certainly, from a client standpoint, that presents opportunity for us on the business side, which we're aggressively pursuing, and on the risk side, as I went through with our exposures, making sure that we've mitigated as much as possible the exposure that we would have to any downside scenarios there. On the M&A front, we do expect that there will continue to be dislocation and potential separation of businesses, which you've already started to see there. I would just say that I -- whether that presents opportunity or not, it's just a question of whether those opportunities fall into the strategic profile that Northern has always had. And I think that the history on that front is very consistent with what we would look to do going forward. So when you look at the 2 recent acquisitions, they had to do with acquiring clients and acquiring capabilities, and they were of a size that fit with our size profile. I don't think that, that necessarily changes as we look at what might happen over in Europe.
J. Jeffrey Hopson - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Would you say that net-net, as some of your competitors have had challenges -- I mean, do you see this playing out to your benefit?
Michael G. O'grady: Hard to say vis-à-vis the competitors. I do think that the other likely beneficiaries over in Europe will be the same competitors that we face every day.
Operator: We'll take our next question from Robert Lee with KBW.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: I apologize. You may have gone over this. I was a little late getting to the call. But can you talk a little bit about some of the trends you've seen in the electoral [ph] business -- in the institutional asset management business in the quarter? And particularly interested in kind of any color you can give on maybe the pattern of a business activity there. I mean, any sense that you're starting to see more institutional clients kind of hold off for the time being from making decisions that maybe you were expecting them to make. Or just trying to get some flavor for how business has progressed there.
William Lind Morrison: Rob, we did talk a little bit about that earlier. We detailed some of the wins that we've publicized recently. But generally, I would just say that our activity on the institutional side of the business has been quite strong. You might have heard Mike's comments earlier where -- well, he and I both talked about the fact that our C&IS net new business was -- for the first 9 months, was the best in this decade. We have had what I would consider to be not only strong growth but strong pipelines in our GFS business, in our custody business, and that strength has been consistent across the businesses -- across the regions, rather, that we do business in: North America, EMEA and the Asia Pacific. I wish we could disclose a few of the names that we've recently won, but unfortunately we can't. But the business has been quite strong, and we don't see clients on the institutional side waiting to make a decision. We're out there soliciting the business, and they are signing and moving to us at a good pace.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: I guess I was trying focus on kind of a bit more of just on the kind of the asset management part of the business, I mean, in terms of a complexion. Is -- was kind of the fiduciary management part of the business that was -- had more momentum? Or is it passive or kind of just pretty evenly split? And then I also just wanted to catch up. I know you've kind of talked about just trying to be an ETF business, then backing away, then it's still a business you want to be in. If you can maybe just update us on kind of where you stand with that initiative.
William Lind Morrison: With the ETF business?
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: Yes.
William Lind Morrison: I'd be happy to. We launched our first group of products last month under the brand FlexShares. And as of yesterday, we had about $300 million in AUM in those products, so that's off to a good start. As we've mentioned around -- the PR around our initiation of those ETF products, those are, at the present time, focused on our personal clients and prospects principally. And as time goes by, we'll market those products a little more broadly, but so far so good. The ETFs are off to a good start.
Operator: We'll take our next question from John Stilmar with SunTrust.
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: To go back to the topic of pipeline, and I apologize if I'm beating a dead horse, but you said that in the C&IS, if I'm correct, over the past 9 months have been the best in the decade. Those were, for the most period of time, a relatively constructive capital markets environment. As we move to a more challenged or choppy or unknown environment, does that environment itself increase or decrease the velocity of new business wins? Wondering to try and put the kind of future market outlook in the context of business performance, wondering if you can help me with that.
William Lind Morrison: That's a good question. I will -- I'm not sure I can give you the answer, but I'll tell you how I think about it. We've been, for the last 3 years, in one of the more difficult macroeconomic environments that I've ever seen. I've been around for a while. And our business -- new business growth on the institutional side of the business and the personal side of the business both have been pretty remarkable, pretty resilient through all but the first part of that period. We've commented on our personal and institutional business successes in kind of a macro context, and you've heard our descriptions around records or near records for the last 4 quarters. And frankly, things were reasonably strong and building prior to that. So I think the last couple of years, from my own perspective, will turn out to be kind of similar to the next couple of years in terms of environment. Hope it turns out better than that, but that's what we're thinking. And if the past in an indicator of the future, we should have strong new business going forward as well in both sides of the business.
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: And -- okay. So would you say that it's probably more business wins themselves are more driven by your own abilities and your own products that you're offering rather than maybe the macro environment, that the macro environment isn't as much of a catalyst to new business wins?
Michael G. O'grady: It's Mike. It's a combination of those 2. And just my impression, certainly, is that the opportunity set out there is as active as it has been. So as Bill said, I don't think that clients -- or I should say potential clients are holding back on making decisions for either putting business out or considering switching. And then to your second point though, absolutely. At the end of the day, winning the business comes down to our own capabilities.
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Perfect. That's very helpful. And then, Mike, I think you talked a little bit about the deposit inflows. And while it may not have been as much as others, certainly, non-interest-bearing deposits on an average basis is up nearly 40% in the quarter. And I guess as a manager, how do you look at that as to how much of that is core deposits that will probably stick around for a while that you can invest in a securities portfolio versus money that might be coming back out and that you would probably want to put with the Fed? I'm wondering if you can think about how you do the asset liability management given sort of the volatility in deposits.
Michael G. O'grady: Sure. The first thing I would say is we have an ALCO committee that very much focuses on the question that you're asking there. And first and foremost, as far as the objective there, is to make sure that we do have adequate liquidity, and I think you can see from our balance sheet and any type of ratio that might be used that we have excellent liquidity. And so we start with that. To your follow-on point then, how do you think about the deposits that are coming in, these are core deposits. So these are coming from clients. And as to how long they'll stay there, much of that depends on what the environment is. If you think about the environment we're in now, where buying a treasury gets a minimal return at all and they can alternatively also consider just putting it at a bank like ourselves that's very high credit quality and have federally guaranteed insurance as well, you can understand why clients will look at those alternatives and decide which one is best for them. Well, that dynamic can change over time, but these are very much core deposits from clients on both the personal and the institutional side.
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then my final question, Mike. Did I hear you correctly that you may have taken duration up a little bit in the quarter? And if so, how much more or how further out the curve would you expect to be taking the portfolio relative to this quarter?
Michael G. O'grady: Yes. What I -- if I said it, let me just be clear on it, which is what we're trying to do is essentially maintain a consistent duration there. So the average maturity of our portfolio is about 2 years. We also think about it as an index duration, which is more thinking about how often or how soon that reprices. That's much shorter. That's closer to 8 months. And so the point being that as the maturity -- as securities mature, you need to put them back out there in a way that's going to maintain that. We do that through a combination of some securities that may be shorter term than that. As you mentioned, we can buy on the short end there, but then also, we can certainly go out longer than either the 8 months from a repricing standpoint or the 2 years overall in order to get what we think is the appropriate return.
Operator: We'll take our next question from Gerard Cassidy with RBC Capital Markets.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Bill, you mentioned that you guys paid out about 60% of earnings in the buyback and the cash dividend, and you're going to have your capital planning session for next year, and of course, the Federal Reserve will get a look at it. Do you have any sense whether you'll be -- for a company like your own that are very well capitalized under Basel III, that you could actually focus with the Federal Reserve on a targeted Tier 1 common ratio rather than in percentage of earnings in terms of how you can manage your capital?
William Lind Morrison: We would love to get there. That's easier said than done, and the complexity around that is the conversion for us and most of the other large banks in the country from Basel I to Basel II and then to Basel III. And I think you all know well what some of those complexities are. We're a ways, in my opinion, from concluding the conversion from Basel I to Basel II, and then I wouldn't get into the conversion from Basel II to Basel III. So we'd love to. It's just that we're going through a somewhat complicated process of developing and then having others who evaluate the effectiveness of our processes, opine on how our processes work. So there's more work to be done. We would love to understand, with finite clarity, exactly what the definition of well capitalized was under Basel III in our situation and then take the capital actions that we believe are appropriate for our company.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Okay. And I think, earlier, Mike, you mentioned -- you talked about the money market mutual fund fee waivers. And what percentage of those waivers were due to rates actually falling versus you taking in more money into those funds?
Michael G. O'grady: Yes, the majority of it is due to rates falling. The funds have gone up, so it contributed to the increase, but the majority of it is certainly due to rates.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Okay. And then finally, in last quarter's call, you guys talked about how you're attempting to go back to customers about pricing, about raising prices on selected products possibly. Are you gaining any traction there? Or has that been a much harder road to go down than you thought?
William Lind Morrison: Well, we're making progress, but I would describe one account at a time, one relationship at a time. As you can imagine, it's a very relationship-intensive process. I mean, you just can't send out a price increase. You've got to sit down and work through the development of a strategy to increase margin. Sometimes that's by cross selling a relationship that doesn't have the full suite of Northern products. Sometimes that's, where cross-selling isn't possible, just raising prices on the suite of services that the client currently uses. Our institutional relationship teams have been out doing that in the U.S. and outside of the U.S. now for well over a year, and we've seen some good successes, but it is a "one relationship at a time," very man-hour-intensive process. And we're making progress, but not quite on a wholesale basis or as quickly as we would like to.
Operator: And due to time constraints, we will take our last question today from Nancy Bush at NAB Research.
Nancy A. Bush - NAB Research, LLC, Research Division: Yes, just a couple of questions. A question for Mike. The -- I just want to make sure I'm clear on this deposit issue. Your average non-interest-bearing deposits have gone up pretty considerably over the course of the year. I think if you compare Q1 to Q3, it's sort of up $7 billion or so. Both State Street and Bank of New York Mellon have talked about "extraordinary deposit levels," and I just want to make sure that this $7 billion or some large portion of it doesn't fall within that extraordinary deposits that are likely to run off in the near term.
Michael G. O'grady: Yes, we don't look at them the same way that they've characterized them. I think that we view these as being deposits from our clients. They certainly fluctuate over time, as I mentioned, with what the environment is and what the alternatives are, but we don't look at them as being "excessive deposits."
Nancy A. Bush - NAB Research, LLC, Research Division: Okay. So the experience with them over the course of what has been a very volatile year has been that they have stuck on the balance sheet largely.
Michael G. O'grady: They stick on, and then it's like I said. Depending on client -- different clients at different times, we'll have different balances, but the key piece of it, I guess as I look at it, is it is our client base. It's not that we're attracting deposits that are just coming for a short time period and then are going to move off the balance sheet within a week or some other short time period.
Nancy A. Bush - NAB Research, LLC, Research Division: Okay. And question for you, Bill. You've spoken about sort of the risk-averse nature of your individual clients over the past year and how that I guess has stayed risk averse much longer than anybody thought that it would, and I guess my observation is, who can blame them? But do you -- when does this become sort of a permanent change of behavior in the eyes of Northern Trust? And would it -- would this change in behavior drive some change in mix of business or the way you do business or staffing or any of those other things?
William Lind Morrison: Well, I've -- Nancy, I think the context within which we're speaking is on the personal side of the business, principally. And I would agree that they have been quite risk averse and continue to be quite risk averse. If you look at the distribution of assets within our clients' personal accounts, equity participation adjusted for the market is about the same as it has been. It's down I think 3%, but as I say, market adjustment is kind of where we would expect it to be. And I think that clients are feeling a bit the way that you just articulated. How could you blame them, if I heard you right. It's a tough environment. There've been a number of things recently in the area of confidence, both in the United States and in Europe, that have not inspired clients. And we don't see the resolution to those in the short term, so we think that it continues for a while. As to whether we can change our product mix or our cost structure, I think our product mix is fine. I think we can take care of clients rather well, whether they intend to be quite conservative or whether they want to be a little bit more risk intensive, but I think the products are there. We've got the right kind of advice around our relationship management, and we can take the clients where they want to be. It is a capital-preservation business. And most of our personal clients are interested in preservation first these days, and we're well equipped to deal with that, we think. To the issue perhaps related around expenses, we are looking at the expense of all of the offerings in our business, both personal and institutional. We'll try to deal with that within that set of initiatives, but coming on.
Operator: And at this time, I'll turn the conference back over to Ms. Fleming.
Beverly J. Fleming: Thank you, Cindy. We look forward to updating everyone on our fourth quarter performance when we release earnings on January 18. Thank you very much.
Operator: That does conclude today's conference. Thank you for your participation today.